Operator: Good day and welcome to Boyd Gaming Second Quarter 2021 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Josh Hirsberg. Please go ahead.
Josh Hirsberg: Thank you, Tom. Good afternoon, everyone and welcome to our second quarter conference call. Joining me on the call this afternoon is Keith Smith, our President and Chief Executive Officer. Our comments today will include statements that are forward-looking statements within the Private Securities Litigation Reform Act. All forward-looking statements in our comments are as of today’s date and we undertake no obligation to update or revise the forward-looking statements. Actual results may differ materially from those projected in any forward-looking statement. There are certain risks and uncertainties, including those disclosed in our filings with the SEC that may impact our results. During our call today, we will make reference to non-GAAP financial measures. For a complete reconciliation of historical non-GAAP to GAAP financial measures, please refer to our earnings press release and our Form 8-K furnished to the SEC today and both of which are available in the Investors section of our website at boydgaming.com. We do not provide a reconciliation of forward-looking non-GAAP financial measures due to our inability to project special charges and certain expenses. Today’s call is also being webcast live at boydgaming.com and will be available for replay in the Investor Relations section of our website shortly after the completion of this call. So with that, I would now like to turn the call over to Keith Smith. Keith?
Keith Smith: Thanks, Josh and good afternoon everyone. The second quarter was another outstanding performance by our company and our entire team. Our transformed operating model and enhanced capabilities delivered record results as our business continues to strengthen. On a company-wide basis, we achieved record EBITDAR of more than $385 million, up 66% from the second quarter of 2019 and record EBITDAR margins of just over 43% and for the first time since the pandemic began, gaming revenues surpassed 2019 levels. In our Las Vegas Locals segment, EBITDAR rose 87% over 2019 levels as margins approached 57%. And in our core locals business, which excludes our closed properties in the tourism-dependent Orleans, we grew EBITDAR by nearly 107% over 2019 levels with an operating margin of more than 58%. Downtown Las Vegas, our 2 open properties, the California and the Fremont, each set all-time record for EBITDAR and operating margins during the quarter. Combined, they grew EBITDAR by 24% over 2019, with margins exceeding 45%. And in the Midwest & South segment, EBITDAR topped 2019 levels by nearly 58%, with margins of 42%. All 26 of our open properties achieved EBITDAR growth over the second quarter of 2019, with 25 properties growing EBITDAR at double-digit rates. While our second quarter results were strengthened by the impact of government stimulus, improving vaccination rates and the easing of COVID restrictions, the strong operating performance from the first half of the year has continued into July. Today, our cost structure is more streamlined, our marketing investment is more targeted and we are successfully driving play from our most valuable customers. And while there is a bit more uncertainty today surrounding the direction of the pandemic, we are confident in our ability to continue performing well above our pre-COVID levels as we continue to successfully execute our operating philosophy. This operating philosophy has continued to deliver significant results since we have reopened last year, but the real planning and implementation of many of these initiatives began before the pandemic. We have been investing in new technology capabilities and analytics for several years now, all aimed at gaining a better understanding of our customer base, building stronger customer relationships with our best guests and creating a more efficient operation. Prior to COVID, we were seeing encouraging results from these investments with solid growth in EBITDAR and margins across our operations. These positive results continue to accelerate as we reopened our business last year. Since reopening, we have delivered consistent sequential growth in play and visitation from our core customers as we realize enhanced operating efficiencies throughout our business. The proven success of this business model is why we are optimistic we can maintain much of our region margin improvements in the long-term. Beyond the ongoing growth we are delivering from our core operations, we continue to pursue initiatives to further expand and enhance our business. One area of focus is the continued implementation of new technology to improve the customer experience. BoydPay, our cashless digital wallet, is an example of that technology. We are making good progress rolling out BoydPay, which is now active at 5 properties and should be live at 21 properties by year end pending regulatory approvals. After successfully connecting the BoydPay wallet to our slot floors, we are now focused on expanding its capabilities. We will be launching a test program for non-gaming amenities in Nevada this week, followed by table games later this year. The customer response to BoydPay has been encouraging with our core customers recognized in convenience of a cashless gaming experience. As a result, we believe that BoydPay will be another key enhancement to our ongoing focus on building stronger relationships with our guests. Turning to the digital gaming space, our Stardust branded online casinos are off to an excellent start in Pennsylvania and New Jersey, exceeding our expectations for player volumes and revenues since our launch in mid-April. Our sports betting partnership with FanDuel also continues to perform well. After successfully establishing partnerships with FanDuel in Pennsylvania, Indiana, Iowa, Illinois and Mississippi, we are now setting our sights on new opportunities in Louisiana and we are optimistic we will be able to launch FanDuel retail and mobile sports books in that state before the end of the year. Our relationship with FanDuel continues to generate value for our shareholders, both through our revenue sharing arrangement as well as the significant value of our 5% equity stake in FanDuel Group. Based on our strong performance so far this year, we remain firmly on track to generate more than $20 million in EBITDAR from sports betting and interactive gaming this year. While digital gaming is an attractive growth opportunity for our company, we are also pursuing strategic opportunity to expand our traditional gaming operations. Our partnership with the Wilton Rancheria Tribe near Sacramento, California is just one example. Steel is in the ground at the Sky River Casino site, team member recruitment is underway and we are on time and on budget with the construction of this resort, which will include 2,000 slot machines, 80 table games and 12 food and beverage offerings. We share the tribe’s excitement for the tremendous potential of this resort and look forward to opening Sky River’s doors early in the fourth quarter of next year. As construction on Sky River continues, we are also evaluating opportunities to reinvest in our existing operations. One of these opportunities is Treasure Chest, which has long been a strong performer in our regional portfolio. We are currently in the planning phase of developing a land-based facility at Treasure Chest, which will significantly enhance the guest experience of this property. Finally, before concluding, I want to provide an update on the company’s ongoing ESG initiatives. Sharing our success with others and investing in stronger communities have always been our core values of our company. And those tenants remain as important to us as the day we were founded. We have been fortunate this company to recover so quickly after last year’s closures, but we are also well aware that there are many in our communities who are still struggling with the economic and social impacts of the pandemic and we stand ready to help. During the second quarter, Boyd Gaming provided nearly $1 million in cash donations to charities in the communities we serve across the Midwest and South. Majority of these donations went toward organizations focused on food and security, which is a strategic priority of our ESG efforts. These contributions follow a similar campaign we undertook in support of the Southern Nevada Community last year. We are proud to work with our non-profit partners across the country to assist our neighbors in need and we will continue to step up for our communities in the months and years ahead. So in conclusion, the second quarter was another remarkable performance for our company and our entire team. Our nationwide portfolio continues to generate robust levels of EBITDAR and our operating strategy and tight focus on the right customer are producing the highest margins in our history. And we believe that our strong performances since reopening are largely sustainable. These achievements would not have been possible without the dedication and hard work of the entire Boyd Gaming team. It would be difficult to overstate what a great job our thousands of team members have done over these past 12 months that have helped take our company to new heights of performance. And to thank them in a meaningful way, Boyd Gaming awarded more than $10 million in one-time cash bonuses to our frontline team members in late June. We have the best team members in the business, dedicated, hardworking and committed to providing memorable service to our guests. It is a privilege to be part of such an incredible team and look forward to achieving continued success together. Thank you for your time this afternoon. I’d now like to turn the call over to Josh. Josh?
Josh Hirsberg: Thanks, Keith. The second quarter was obviously an outstanding one for our company. Keith noted the company EBITDAR and margin records as well as the all-time individual property records that were established during the quarter, but we know the key question is whether the strong performances that we have been delivering are sustainable. And we believe the answer is yes, we can maintain much of the margin and EBITDAR performance that we have been – that we have achieved since reopening our properties. This confidence stems from the fundamental and recurring drivers of these results over the last 12 months. That is our more efficient business model, our ability to more effectively target our core customer and the consistency we have seen in our customer base. While Q2 was strengthened in part by government stimulus, the easing of restrictions and progress made rolling out vaccines, our fundamental customer trends have been consistent since we reopened last year and these trends have continued into July. As a result of our strong operating performance and careful management of capital expenditures, we are in a much stronger financial position today than pre-COVID. We have less debt, more free cash flow and lower leverage. Our leverage at the end of the second quarter was 3.1x and lease adjusted leverage was 3.6x. During the quarter, we refinanced nearly $1.5 billion in senior notes with a combination of new notes and excess cash, allowing us to reduce interest expense on an annualized basis by nearly $50 million. We generated over $160 million in free cash flow during the second quarter after capital expenditures of $52 million. We expect capital expenditures for the year to be approximately $200 million. Due to continued uncertainty with the pandemic, in the near-term, we will remain prudent with respect to our capital plans and the use of our free cash flow, while maintaining a strong, flexible balance sheet. As a result, we expect our leverage to continue to strengthen through the remainder of this year. So with the completion of the first half of the year and initial insight into Q3, we believe we have established the new normal for operating our business. Going forward, we expect EBITDAR and margins to be higher than pre-COVID levels, resulting in a much stronger balance sheet, providing enhanced flexibility to grow our company and create long-term value for our shareholders. Tom, that concludes our prepared remarks and we are now ready to take any questions.
Operator: [Operator Instructions] And the first question comes from Joe Greff with JPMorgan. Please go ahead.
Joe Greff: Good afternoon, Keith. Good afternoon, Josh. Thanks for taking my question. I hear you on July looking a lot like June. If you looked at your older demographic, maybe more recently this month a Delta variant cases have spiked. From that older demographic, are you seeing any diminishing visitation or diminishing spend? And then just, overall, and I guess in Nevada, where employees are wearing mask for a short while here, given the mandate that was effective last Thursday, has that diminished anything when you look at it in the short-term here?
Keith Smith: I think as we look at the customer demographics, we haven’t seen any significant or meaningful changes in trends from the older demographic. They were continuing to kind of build – that group was continuing to come out in larger numbers. We were continuing to see more and more customers we haven’t seen for a while. I think it’s still a little early, but we will obviously pay attention to it, but nothing meaningful in terms of trends. In terms of the masks we implemented last week, without any reaction, I mean team members accepted it. Customers have – it’s only a team member mask mandate. And so team members accepted it, it’s fine, hasn’t created any issues, pretty much business as usual.
Joe Greff: Great. And Josh, you spent a lot of your time talking about the improvement in the balance sheet, lower debt, more free cash flow or leverage could agree with you more and saying that continuing to improve based on any scenario whether these sell or not. When you think about the use of free cash flow, where are you with share repurchases? Why not stock here at these levels, particularly given just the strength in the business and where your share price is right now?
Josh Hirsberg: Yes. I think that from our perspective, we still want to be a little cautious around the pandemic, and get that clearly in our rearview mirror. And so that’s really the pacing item for us. I think we continue to, as we’ve talked about, historically, have kind of one-off projects that are – that we believe will generate the returns we need to warrant an investment. And then beyond that, we will consider returning capital to shareholders as we have done in the past. At the end of the day, it’s a Board decision, and we have to defer to that entity or group. But the reality is, is that we will consider it and we have done it historically in the form of dividends and share repurchases.
Joe Greff: Got it. And just a quick follow-up on that comment, Josh, you brought up some CapEx at the Treasure Chest. Can you sort of give us some rough size for that? And would that be included within a $200 million of annual maintenance CapEx budget next year, year after that?
Josh Hirsberg: Yes. So right now, we’re still in the planning stages for Treasure Chest and kind of have to make sure that it kind of pencils out from a return perspective for us and consistent with what I said previously, I think we want to make sure we understand where we are in the cycle of the pandemic as well. But setting those items aside, the project would probably be say, an $85 million to $100 million type size project, it would at least contemplate they probably take 18 to 24 months of construction. And I would say the earliest it could start would be toward the end of this year, maybe first of next year.
Joe Greff: Thank you very much guys. Appreciate your thoughts.
Josh Hirsberg: Yes.
Keith Smith: Thank you, Greff.
Operator: The next question comes from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli: Hi, guys. Good afternoon. Josh, just kind of dating back to – I believe it was your fourth quarter call, you guys kind of put some parameters around what you thought was reasonable for margin expansion. And I thought at the time you talked about ranges that kind of have locals in the plus 800 versus 2019 range and Midwest and South, maybe in the 500 to 600 basis point range. Obviously, what you are delivering is considerably higher than that. Has that expectation changed over the long-term? I understand over the medium-term given the levels of demand and stuff. Has that target kind of risen since then based on what you’ve seen on the cost side and the efficiency of the cost savings?
Josh Hirsberg: Yes, Carlo, I think it’s a good observation and question. I do think that with the passage of time, with our execution – consistent execution at a very high level that we’ve gotten more and more comfortable with our businesses, quite honestly shifted to a higher margin business. I think we were cautious coming out of the – when we were reopening and dealing with the pandemic and some of the uncertainty. But with the passage of time, we’ve got not only more and more comfortable with the business model, but also more and more comfortable with the underlying customer trends that give us that higher level of confidence in where we’re operating the business today.
Carlo Santarelli: Okay. That’s fair and helpful. Thank you. And then if I could just one follow-up on the locals market. If I do some simple math, it kind of appears as though there is about $200 million of OpEx taken out of the business on an annual run rate basis. If you guys blush that number or just want to talk about it as what’s out today versus what needs to come back from kind of 2Q levels, how much incremental headcount and/or other expense, do you believe come back into the system over the next 18 months?
Keith Smith: Yes, Carlo, this is Keith. I think that the level of operating expense that we’re seeing today while I think it will go up marginally from here, it won’t go up significantly. And so I don’t think there is significant increase. One of the bigger challenges we face is simply hiring team members. And so are we truly fully staffed today to deliver the level of service we want to our guests to answer that question? No. So there will be some few incremental bodies here and there that come back to simply take care of the guests at the proper level, but they will not be significant. If there are incremental bodies that come back, which could be on the non-gaming side, it will be because of increased hours and that will come with increased revenue and increased profits. So overall, I don’t see anything – any meaningful change.
Carlo Santarelli: Great. Thanks, Keith. Thanks, Josh.
Josh Hirsberg: Thank you.
Operator: The next question comes from Barry Jonas with Truist Securities. Please go ahead.
Barry Jonas: Great. Thank you so much. Guys, I just want to be clear on this. Is there any reason not to just simply multiply the Q2 number by four or even the 1H number by two with some adjustments for seasonality to think of the go-forward annualized run rate at a high level here?
Keith Smith: Well, I think as we said in our prepared remarks, Q2 was certainly benefited by things like the stimulus that was out there as well as the easing of COVID restrictions and the initial rollout of vaccines. And so Q2 is probably a little peaky, but – it’s – so it’s probably not fair to take Q2 times four. We do think that long-term, the business will continue to build and grow in a strong fashion. But I think Q2 is a little aggressive to take that multiply by four.
Josh Hirsberg: Yes. And having said that, Barry, I think the way we look at it is Q2 is a little peaky in terms of the things that Keith alluded to in his script, but we’re continuing – our business is continuing to recover, if you will, or continuing to improve. We still have rated business that’s coming back. We have more and more confidence in the level of unrated business that we’re seeing. We have midweek and destination business and so as – and quite honestly, we have the downtown business that is yet to recover fully. So I think when we think about kind of the mix of the business, what we’re seeing on the customer side and the opportunities that we have, we feel very comfortable with kind of fundamental level of business. I can’t tell you kind of where off of Q2 it is, but that’s the best we know today.
Barry Jonas: Got it. Understood. I appreciate the commentary on BoydPay. Just curious if you can give any color on who’s actually using the product so far? And if you think they see it as just a substitution for cash or if it’s actually driving increased play levels?
Keith Smith: Yes. So it’s a little early. I don’t have all the statistics in front of me, but the type of customer, I would say, is our core customer. It’s a higher end customer. They do see it as a substitute for cash. It’s much more convenient. I don’t have any commentary sitting here today on play levels whether or not it has increased play levels or not. So I can’t answer that question. But clearly, we have gotten positive feedback and is continuing to gain more and more acceptance as we continue to roll it out. So we feel pretty good about it.
Barry Jonas: Perfect. Thanks so much guys and congratulations.
Keith Smith: Thanks.
Operator: The next question comes from Steve Wieczynski with Stifel. Please go ahead.
Steve Wieczynski: Hey guys. How are you doing? I don’t know if you talked about this, and maybe I missed it in your prepared remarks, but did you call out what unrated play looked like in the quarter? And if I remember correctly, it was hovering close to 50% of volumes back in the first quarter. Just trying to figure out what that looked like in the second quarter? And then maybe also help us what kind of changes you’ve seen within your database?
Keith Smith: So Steve, this is Keith. So from an unrated play perspective, it is in the 45%, kind of low to mid-40% range. It was there in Q1 and that’s where it is in Q2. It seems to be fairly stable in that low to mid-40% range. It has not been at the 50% level. So – and it seems to be fairly stable there, at least over the last 6 months or so, and we haven’t seen any real change as we look at early July results. So it seems to be a good stable number, a good stable result, a good customer coming in the door and playing with us. So that’s where the unrated business is. Sorry, was there a second question?
Steve Wieczynski: Yes. And like what have you guys witnessed with your database over the last couple of months as well?
Keith Smith: So look, the database continues to perform as we saw it perform in Q1. Our core customer, the higher worth customer continues to play at strong levels at higher levels, the levels are higher than 2019. We continue to see new sign-ups be at a higher worth. And so the value of the new sign-ups today are higher than they were in 2019 and so the database, frankly, is continuing to perform as it was in Q1 with good growth at the higher end tiers. And the lower end tiers, which frankly, we are really not marketing to, we are seeing that fall away, but that’s to be expected. There is nothing new there.
Steve Wieczynski: Okay. And then if I flip that question around and we look at the rated side of play, is there a way to help us think about what – how much of that rated play has not come back to the properties at this point? And hopefully that question makes sense.
Keith Smith: Yes. So, I would say that if you were to look at all the customers that played at ‘19 and how many are back today. Once again, I don’t have that information in front of me. Are they all back, the answer to that is no. We still have a group of some of our older demographics that haven’t come back yet. Although, once again, it’s been building since the April, May timeframe. And so we would expect that to continue to build. But we always see some turnover in that customer base, right. We always gain new customers and lose customers. So, there is always a certain amount of churn there. And so I don’t think it’s – ultimately will look significantly different going forward. But have we seen them all come back, the answer is no. Do we expect that the majority of them will outside of the normal churn, yes.
Josh Hirsberg: Yes. I would just add to that, that really the way I – when we look at the – I would say a couple of things have changed since that is really kind of a reflection of the business recovery. That is more and more customers really across all segments are coming back. We still have opportunities up and down the age segmentation, if you will, that are still opportunities to come back, none really outsized relative to the others. It’s just kind of a continual improvement across those age segments. And I think in the unrated segment side of things, we have just gotten more and more comfortable that the level of business that we are seeing. Some of these customers were unrated customers pre-COVID and they are coming back consistently. Some customers are kind of that were rated before now unrated. And so we have just got more comfortable with the level of unrated customer and who that customer largely is to the extent we can understand that. And the rated business is just continuing to improve and come back really.
Steve Wieczynski: Okay, great. Thanks guys. Thanks for the color. I appreciate it.
Operator: The next question comes from Shaun Kelley with Bank of America. Please go ahead.
Shaun Kelley: Hi, good afternoon everyone. Josh, I wanted to drill in a little bit more into the Las Vegas Locals segment. And I was just sort of hoping if you could give us a little color. I mean, obviously, the margin performance itself on an absolute basis is beyond kind of parallel. So, I am wondering, was mix shift a factor in the quarter when you saw hotel coming back, gaming coming back relative to maybe some of the non-gaming amenities. And the question really becomes like as we move through the year, do certain lower margin amenities start to come back, just given the nature of a more tourist-centric or group-centric piece of the business or is this really like the new norm even within locals and it’s just a lower cost structure there as well?
Keith Smith: So Shaun, this is Keith. I think your last comment is probably the most true, which is it is just a lower cost structure overall. Now once again, do we continue to run 57% or 58% in the locals market, it’s probably a little lower than that, but there is definitely an overall lower cost structure. Our locals business is largely gaming centric. We have a minority of our revenue coming from non-gaming amenities and many of those are open. As I said earlier, they are not functioning fully or not running maybe five days or six days a week in terms of restaurants or full capacity. So, that will continue to grow, but it should grow in a profitable way, albeit at maybe lower margins. On the hotel side, as that continues to grow and meetings and conventions, when the midweek business comes back, that will be incrementally profitable and that is good margin business, as we continue to fill up our hotels and have good room rates, that is high-margin business. So, I think the margins, while not specifically sustainable in the mid to high-50s are largely sustainable based on the current cost structures that I really don’t anticipate changing dramatically.
Shaun Kelley: Thanks for that Keith. And maybe the follow-up would be, I know, obviously, some of the restrictions, particularly at some of the like larger group and meeting capacities weren’t lifted until June. But can you talk about how much that either held you back at the Orleans? And I believe you alluded to one property being still offline Downtown. Can you just give us sort of across the portfolio, a little bit of a sense of what was still actually not fully back to normal, if not, at this point, well above normal?
Keith Smith: Sure. So, on the two closed properties, Main Street Station, Downtown and the Eastside Cannery out next to Sam’s Town in the locals market. Main Street’s future is all about Downtown business and the Hawaiian business returning in Eastside will just depend on volumes. But in terms of kind of the midweek business meeting and conventions, it really is about the Orleans. They have the most significant portion of that. We do get a little bit of that business at our other properties, Suncoast and the Sam’s Town, but it is not significant once again. So, it really is about the Orleans. Now the Orleans posted very strong results, even without that business, largely on the back of locals play, play from people living here in the state, not from destination. Destination was up in Q2 over Q1, it was building but not back to where it was pre-COVID. So, I think there is great upside at the Orleans as meeting conventions return, and we are able to utilize that meeting convention space that we have, plus the arena, remember, we have a 9,000 seat arena in the back that was largely occupied most days of the year. So, I think there is still great upside at the Orleans, but that is where most of the upside occurs. It won’t be – you won’t see anything significant at the other Las Vegas properties.
Shaun Kelley: Understood. And if I could sneak one last one in, it would be just a follow-up on that last point, Keith. Could you give us any color on maybe on that Meetings and Conventions segment? I mean, I know it’s small in the grade scheme of things to you, but it’s pretty important across the broader strip and broader Las Vegas market. So, what are you kind of seeing as it relates to either willingness to return the beginning to fill in the mid-weeks? Just how does your book of business look as you move into the second half?
Keith Smith: The forward bookings, when you look at both the hotel and how the phones are ringing for hotel reservations as well as meeting conventions clearly are growing. I don’t have meeting statistics in front of me to be able to say kind of what our occupancy may be going forward. But I do know that in the month of June, as restrictions were lifted, that the phones were ringing a lot and that we were beginning to book a lot of business. I just – I don’t have the data. Josh may have some data, so I will defer to Josh to see if he has anything additional.
Josh Hirsberg: Yes. The only thing I would say, Shaun, is, obviously, we are not a big meeting and convention kind of portfolio. We do have isolated properties such as you guys were already speaking about the Orleans, but even in the Midwest and South with IP and some of our Missouri assets and Blue Chip, in particular, all drive significant kind of meeting and destination business and all can benefit from the lifting of restrictions there. I think one thing we have seen that may be applicable to other of our peers is that our forward bookings in form of the hotel have largely started to match 2019 levels. So, we have gradually seen those forward booking channels kind of start to book up and look more like 2019. And hotel has been much more of a demand driver for us. Meetings are starting to pick up. And so given just its relative contribution and that is just starting to pick up, we have limited information on that at this point.
Shaun Kelley: Thank you all.
Operator: The next question comes from Thomas Allen with Morgan Stanley. Please go ahead.
Thomas Allen: Hi, good afternoon. Can you just get into a little bit more detail on what you are seeing on the labor side? Are the shortages driving cost creep, how are you dealing with labor shortages? Thank you.
Keith Smith: Sure. So once again, it is one of our bigger challenges is being able to fully staff these operations to provide the right level of customer service. We are fighting for team members like everybody else in our industry, and frankly, like everybody else in the hospitality and food and beverage industry and other industries around the country. There is a little bit of wage inflation, but it’s not significant. If I look at the average hourly wage back in the fourth quarter and look at it today, it’s not significantly different, so it’s really not impacting margins. We are doing all the things that we need to do to try to incent people to join us. But we are not able to fully staff certain restaurants or being able to open five days a week where we would like, but we continue to work on it, but it’s really not driving significant cost increases at this point.
Thomas Allen: Thanks. And just as my follow-up, the two properties are still closed. Would it make sense to sell them?
Josh Hirsberg: I guess, Keith wants me to answer that question. I would say our philosophy to this point and our approach to this point has been to believe that demand will catch up, and that’s what we will – we will open them in response to demand. I think that continues to be our point of view. I think we are in the process of making plans to potentially reopen Main Street Station Downtown based on growing demand for our product there. And we would expect the same thing to happen over time in the locals market with Eastside Cannery. So, I think consistent with what we have been saying so far, we still have – we are still in this mode of recovery from our perspective, and we still have demand that’s on the come, so to speak, in all the different areas that we have spoken about. And quite honestly, that not only gives us confidence in kind of the level of business that we are seeing and being able to sustain that level of business, but that will potentially, eventually need to supply as well.
Thomas Allen: Thanks.
Operator: As we have no further questions, this concludes our question-and-answer session. I would now like to turn the conference back over to Josh for any closing remarks.
Josh Hirsberg: Thanks, Tom, and thanks for everyone joining. Since there is no other questions, we will go ahead and call the end of the call. But if anyone should have any follow-up questions or anything to follow-up with the company, please feel free to reach out to us. And again, thanks for your participation.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.